Operator: Good morning, ladies and gentlemen, and welcome to the Red Robin Gourmet Burgers Incorporated Third Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, part of today's discussion will include forward-looking statements within the meaning of federal security laws. These statements are commonly identified by words such as continue, plan, expect, believe, intend, should and other terms with similar meaning. These statements will include, but will not be limited to, statements that reflect the company's current expectations with respect to the financial condition of the company, results of operations, plans, objectives, future performance and business, including the company's traffic and revenue-driving initiatives, sales growth, expectations, expected operating margins, anticipated costs and expenses, intentions with respect to expense management, plans for deployment of capital, new stores and other expectations discussed during the course of this call. Although the company believes the assumptions upon which preliminary or initial results, financial information and forward-looking statements are based are reasonable as of today's date, these forward-looking statements are not guarantees of future performance and therefore, investors should not place undue reliance on them. Also, these statements are based on facts known and expected as of the date of this conference call, and the company undertakes no obligation to update these statements to reflect events or circumstances that might arise after this call. Participants on the call today should refer to the company’s Form 10-K and other filings with the SEC for a more detailed discussion of the risks, uncertainties and other factors that could impact the company's future operating results and financial conditions. The company has posted its fiscal second quarter 2013 press release and supplemental financial information related to the quarter's results on its website, www.redrobin.com, in the Investors section. I would now like to turn the call over to Mr. Steve Carley, Chief Executive Officer of Red Robin. Please go ahead, sir.
Stephen E. Carley: Thanks, Lauren, and thanks, everyone, for joining us on our call this morning. With me in the room are Eric Houseman, our President; and Stuart Brown, our Chief Financial Officer. Denny Post, our Chief Marketing Officer, is joining us by phone from New Your, City, where she'll be hosting a large event for the First Burger and our new finest lineup tonight. After Stuart and I deliver our prepared remarks, all of us will be available for Q&A. To begin, let's walk through the quarter's highlights, shown on Slide 2 of the supplemental financials. The third quarter reflected continued progress, enhancing the guest experience and delivering on key elements of our long-term strategic plan, which I'll detail in a moment. Based on Q3 results and third party research, the changes we've been making are resonating with key members and guests. Compared to Q3 last year, same-store sales rose 5.7%, with an associated guest count increase of 1.1%, returning Red Robin to positive traffic, despite the current weakness in the casual dining sector. This also marks our sixth consecutive quarter taking share, as our guest count growth outperformed our industry peers by more than 400 basis points according to Black Box Intelligence. We were also pleased with the continued expansion of our restaurant operating margins, which grew 70 basis points during the third quarter. Combined with our solid top line performance in Q3, we achieved a nearly 32% increase in net income and more than 33% growth in diluted EPS compared to the third quarter last year. During Q3, we continue to focus on the 3 Es: guest engagement, operational efficiency and footprint expansion. I'll cover engagement, and Stuart will provide an update on both efficiency and expansion. In Q3, we rolled out a number of changes based on the learning from our brand transformation pilot, all designed to elevate the guest experience. These changes included a new service model for our restaurant team members that gives them the skills to anticipate a guest's needs, inform guest about food and beverage offerings and continue to go the extra mile to make sure all our guests have a wonderful, memorable Red Robin dining experience. Now I can't overstate the significant behavior changes we've introduced to our team members. Given our legacy service standards where team members relied on a script or cubes on the table, we're seeing some inconsistent execution in the near term, as our restaurant teams adapt. We expect this to be a continuing challenge going forward, as we build new muscle memory around this new service system. The new spiral menu replaced the laminated, diner-style trifold system-wide, and guests are telling us the like the new look and layout. It reinforces our Burger Authority and also helps guests discover great entrées, salads and other menu items they may not have noticed before. Consequently, we've seen some positive mix shifts. Our add-ons remain popular, specifically with guests as they really appreciate the $3, $5, $7 and $9 appetizer platform and updated dessert offerings, which continue to drive incremental sales. The enhancement, which we made to plating and presentation, are showcasing the creativity and craveability of our unique burgers, moving from red plastic baskets to plates and elevating our signature bottomless fries in a fun, new way has been met with rave reviews from guests and team members alike. We continue to innovate in beverages with our first-to-market, can-crafted beer cocktails, which were recently recognized in Full-Service Restaurant magazine's 20 Best Beverage Programs, where Red Robin was one was one of only 2 chains named alongside beverage programs consisting of fine dining, restaurants and noteworthy independents. Regarding our brand transformation remodels, we're on track to complete 20 more full transformations in 2013. 12 of them were completed recently, and the remaining units are under construction and scheduled to be finished by the end of the year. Quickly on the advertising front, our new ad campaign "24 Burgers. A Million Reasons" and the associated new media strategy are both really starting to work for us. During Q3, we continued the media pulsing strategy that we introduced earlier in the year, and this helped us achieve higher levels of awareness and momentum early in the quarter. While we are pleased with the campaign of the new media strategy, we continue to make some modifications to improve its effectiveness even further. During the third quarter, we focused on a strong summer LTO. Our gourmet Berserker Burger and our iconic Kuzuri Style Tavern Double were coupled with 20th Century Fox's Wolverine film franchise. This LTO, in combination with a number of targeted marketing tactics, extended the impact of the promotion for a full 3 months, both preceding and after the premiere of the movie. For fall, we brought back our popular Oktoberfest Burger, our Sam Adams beer shake and added a new Oktoberfest-inspired app in dessert, along with a spiced pumpkin pie shake, which is sure to become an annual classic. Overall, we were pleased with the results of our fall lineup, though sales of the Oktoberfest Burger were softer than last year. This was the third year this burger was featured us an LTO, so it didn't generate the same level of news. As I'm sure you're aware, a lot of other restaurant chains jumped on the pretzel bun bandwagon, doing some of the product's uniqueness. Red Robin's task going forward is to continue to innovate with food and flavor-forward gourmet burgers at a pace that's tough to follow. Finally, we continue to use Red Robin Royalty to engage with, understand, surprise and delight our guests. Unique registrations in this profitable best-in-class loyalty program now total more than 2.7 million guests. Before I turn the call over to Stuart, let me caution, as pleased as we are with Q3 and the traction we've achieved, we still have a lot of hard work ahead. It will take longer to fully embed our new service changes with team members through training and coaching, to build the muscle memory and deliver consistent executions. We've also encountered ongoing challenges implementing our restaurant IT infrastructure. While implementing our new financial systems earlier this year went relatively smoothly, our restaurant supply chain systems, which will be unique in the industry, are providing some challenges. And we're addressing the inevitable gaps in beta software during the pilot phase, which has been more complex than anticipated. We are piloting over 30 restaurants, with some adopting well and others finding it more challenging to implement than we expected. This technology will enable other initiatives down the road, so it's critical we get this fully stabilized before rolling it out system-wide. And of course, the persistent headwinds related to volatility and consumer confidence and spending are among the external challenges that continue to cause uncertainty for our guests. So with that, I'll pass it over to Stuart to speak about our Q3 financial results and outlook for the balance of the year.
Stuart B. Brown: Thank you, Steve, and good morning, everyone. Thank you also for joining us today. Our very strong third quarter results reflect the guest-pacing improvements, which Steve reviewed. We've talked previously about the importance of growing earnings through top line revenues and not just managing expenses. Reinvesting a portion of our cost savings into guest engagement and experience are clearly paying dividends. In addition, we have made continued progress along both the expansion and efficiency planks of our strategy, by opening more stores and continuing to find ways to reduce costs. This should help us mitigate some of the industry headwinds and other challenges on the horizon. Our comparable restaurant sales rose 5.7% in the quarter ended October 6. This reported growth actually would have been a bit higher, except for the fact that same-store revenues last year were increased by about $1 million or 0.5% for the one-time reduction of accruals related to Red Robin royalty discounts. You can see details of our Q3 sales growth on Slide 8 of the supplemental. The 5.7% comparable sales growth resulted from 1.1% higher guest counts, 2.3% of price increases and 2.3% of favorable menu mix and increased items per guest. Through the first 3 quarters of 2013, our comparable sales growth was 4.2%. The growth in same-store sales over the past 5 quarters, as shown on Slide 9 of the supplemental, exceeds even our own expectations. Our guest count trends continue to show that we are taking market share, despite an environment in which most of our direct competitors are promoting heavily. This past quarter, our traffic growth outperformed casual dining peers by over 400 basis points. And over the past 2 years, our third quarter traffic growth has outperformed our peers by about 700 basis points according to Black Box. The increase in average check was helped by higher sales of appetizers from our October 2012 and April 2013 menu changes, as well as increased sales of alcoholic beverages. Compared to the third quarter last year, total revenues increased 8.1%, with operating weeks having increased 3.8%. As a reminder, total revenues are reduced by about $1 million in the quarter for restaurant-level promotional costs, which last year were reported in other operating costs. We opened 6 new Red Robins in the quarter, bringing us to 11 new locations year-to-date. An additional 10 full-service restaurants will open in the fourth quarter, plus 1 Burger Works. Our franchisees opened 2 Red Robins in the quarter, 1 in Pennsylvania and 1 in Canada. We've had 5 Burger Works opened for the past year, and we continue to evaluate the results of the different types of trade areas, as well as optimize everything from menu to equipment. The underlying restaurant performance has been mixed, with sales at our Central Business District and lifestyle trade areas performing well, and our college campus locations underperforming our expectations. Our real estate team is focusing on finding central business district locations in a couple of major metro markets for next year, while we consider the future of the college campus sites. Restaurant-level operating margins in the quarter were 20.4% of restaurant revenues, a 70-basis point increase from 19.7% last year. The leverage of the increased sales on fixed cost was the main reason for the solid margin expansion. Cost of sales increased 40 basis points, due mainly to commodity inflation and some mixed shift, while labor improved 40 basis points due to the sales leverage and lower insurance costs, partly offset by higher training and restaurant bonuses. Depreciation and amortization expense grew in the quarter, but in a slower pace than past quarters, due partly to some assets becoming fully amortized. General and administrative costs were $20.6 million, and generally in line with expectations, though higher than 1 year ago. The increase was due to cost of increased staffing over the past year, manager training as we've increased new units and higher incentive compensation. Selling costs were $6.8 million, or $1.3 million higher than a year ago, due to the timing of contributions into the Red Robin national advertising fund, increased expense on the higher sales, as well as the cost of sports sponsorships. Overall, while media weights are still light compared to many of our peers, our media spending this quarter was about double what we spent in 2012, as we've shifted the timing of advertising. Year-to-date, media spending has been about flat with 2012. Turning to cash flows and investments. EBITDA for the first 3 quarters increased 6% to $83.3 million. This year, we have paid down $43.5 million on our credit facility, bringing the balance to $81.5 million. We have invested just over $50 million this year, comprised of $32.4 million in new stores, $3.8 million in remodels, $7 million on IT and other projects, and the remaining $7.1 million spent on maintenance CapEx and other. In addition, we've repurchased almost 37,000 shares for $2.5 million. Bottom line, we had a strong quarter, with net income growth of over 30% and diluted earnings per share growth of 33% to $0.32 per diluted share. Year-to-date, earnings per share has increased 18% over 2012. With only 2 months left in the year, we're obviously confident that we'll exceed our initial 2013 guidance we issued back in February and believe that we have the initiatives in place to outpace our peers in the fourth quarter. The overall outlook for casual dining, however, is fairly pessimistic in the near term, with consumer confidence down and little expected improvement in employment, retail sales or discretionary spending in restaurants. Based on the 4.2% comparable sales growth for the first 3 quarters of the year, we expect comparable sales growth for the full year to end somewhere close to 4%, implying about 3.5% growth in the fourth quarter. We remain concerned about the weak industry trends, the one less weekend and fewer shopping days between Thanksgiving and Christmas this year compared to last year, and an intensifying competitive environment. Further, remember that we rolled off 90 basis points of price in October, so Q4 will be carrying 140 basis points of price increases. Restaurant level operating margins for the full year are expected to average around 21.7%, consistent with what we've seen year-to-date. The fourth quarter of 2012 benefited from the leverage of the extra week in our fiscal calendar, but we should continue to have some benefit this year from the increases we've seen in average guest check. Further, we will continue to incur rollout costs from our new labor management system, which will be fully deployed in the fourth quarter. It will take a few months for our general managers to fully implement the recommended staffing changes, negatively impacting labor productivity into the first quarter of next year. 2013 general and administrative costs are expected to exceed $92 million. The increase in guidance from last quarter stems from higher incentive compensation, higher training cost of new managers, as well as expected relocation cost of our new executive team members. Selling costs are expected to be 2.9% of sales for the year, an increase from our previous guidance of 2.8%, due to the higher gift card production cost, as we continue to expand third-party outlets. As you see in our press release, we have modestly brought down our guidance for depreciation and our tax rate. Investments in new stores, brand transformation remodels and other capital expenditures will reach about $75 million, a $5 million increase from previous guidance, due mainly to the addition of new unit and an additional relocation in the fourth quarter. Preopening cost for the full year will total almost $6.1 million, with the fourth quarter about $1.5 million, as we opened the 11 new locations. Also remember that the extra week in our fiscal calendar last year increased 2012 revenues about $21 million and increased earnings per share an estimated $0.21 for the year. As is our custom, we will provide 2014 guidance on our earnings call in February. I want to provide a few thoughts, though, as we look to next year. We believe food inflation will be around 3%, or a 70-basis point increase, and labor costs as a percent of sales will increase about 30 basis points, all else being equal. Labor inflation is expected to be more meaningful in the next couple of years, as the $1 minimum wage hikes in California in June 2014 and again in 2015, it is particularly hard with our 69 restaurants. We will obviously try to mitigate a portion of these risks. We expect to open another 20 new full and midsized Red Robin's next year, along with a handful of Burger Works, with openings more weighted to the middle of the year. Given the great guest feedback and solid financial results at our remodeled brand transformation restaurants, we will continue these profitable investments with the 2014 pace to be finalized as we evaluate the results of the 20 restaurants currently being remodeled. Given commentary from some of our peers, we expect them to continue increasing discount activity, as well as media spending. We plan to stay on our present course, truly focused on the guest, differentiating our brand and delivering everyday value, while investing for continued, long-term growth. We plan to limit price increases next year to support our value positioning. This in turn may lead to lower operating margins next year, but should facilitate a continued increase in market share. Above all, we believe we have initiatives in the pipeline and the team in place to execute on our strategic plan. With that, I'll hand the call over back to Steve.
Stephen E. Carley: Thank you, Stuart. Let me wrap up by reiterating that our strong third quarter performance reflected some initial traction on our efforts to enhance the guest experience. The changes we made this summer in our menu and presentation, as well as our new marketing approach helped us return to positive guest traffic. Looking ahead, we know consumers continue to feel challenged finding great value and a great casual dining experience. We're encouraged by the traction we've achieved with the guest service initiatives that we've watched this past quarter, but we've just begun. Delivering consistently great execution will require a lot more time and effort. We are certainly not immune to what is transpiring in the casual dining sector, and we have our own challenges. But we are confident the steps we've taken through brand transformation are positioning Red Robin well for the long term. We're optimistic about what we can accomplish in the fourth quarter and next year, but must also acknowledge the factors beyond our control that might impede some of our progress. Of course, to address these challenges, we continue to rely on the great Red Robin team, the enthusiasm of our team members and their passion for taking care of our guests continue to be the hallmarks of our brand. The credit for all Red Robin's accomplishments both past, present and current going forward, belongs to our great Red Robin team members. And finally, as you may have seen in our earlier announcements, we have recently added 2 outstanding new leaders to our senior management team: Chief People Officer, Cathy Cooney; and Chief Legal Officer, Michael Kaplan. Both Cathy and Michael bring to Red Robin considerable talent and experience in their respective fields, and we're looking forward to the contributions they will make to our future success. With that, operator, we'd be happy to take questions.
Operator: [Operator Instructions] Our first question comes from Joe Buckley with Bank of America Merril Lynch.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Just a couple of questions. I just want to put the brand transformation restaurants in perspective. If you've completed the remodels, so you, if I understand correctly, will completed 20 remodels this year, will that give you roughly 29 by year-end?
Stuart B. Brown: That would give us 29 full transformations. We've done, I think we had 3 or 4 sort of middle transformations as well. And we're going to go ahead and also increase those to the full transformations. So really will give us closer to just over 30 sort of total transformations through the end of this year.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay. And then I wanted to try to understand a little bit more about the new service program and kind of what's involved? And it sounds like it's been a little hard to execute maybe, or maybe it's the right way to phrase it, but it sounds like the execution is a bit of a concern. So if you could just talk a little bit more about a bit more about what it is and how it will be rolled out?
Stephen E. Carley: Yes. Joe, it's really -- we were very much in previous, very much, I want to say, robotic in our service standards, both from a time, as well as execution. So we really went back and took a look. We actually call it Triple R. And the Triple R really stands for: recognize our guest needs, recommend the various things on the menu, obviously, with a new spiral menu, our guests are finding a lot new different items. And then, lastly, the third R is just to reassure. So that the guests are reassured that they're going to have been a great experience, reassured that the menu items that they chose, if it's not one of their long-term favorites, they're going to be happy with. And if not, we'll make it right. So it's really about making sure that all of our team members -- Denny always says, with the brand transformation, that's really the paint and the exterior and painting the box. But truly, what happens within the box that is really going to drive frequency and great guest loyalty.
Operator: Okay. And I think one last, Robert.
Robert M. Derrington - Wunderlich Securities Inc., Research Division: It sounds like the marketing spend, I think you said the marketing spend is actually 2x the level of third quarter 2012. I realize how did you recognize those expenses a little bit different when you gave us those numbers? But if I hear that correctly, that the actual spend or the actual media noise in the quarter was double that of a year ago?
Stuart B. Brown: Yes, this is Stuart. Yes, what we talked about originally is we've shifted the timing of the media around -- we've gone to this posting strategy. So the media waits and dollar spend were about double in third quarter. But year-to-date, through the third quarter, we've been about flat.
Operator: Our next question comes from Alexander Slagle with Jefferies.
Alexander Slagle - Jefferies LLC, Research Division: A question on the fourth quarter same-store sales guidance. Just wondered if you could expand further on the choppiness, maybe you're seeing out there? And circle back on the October promotion and dynamics at play, kind of what you're reading through in terms of getting to the fourth quarter guidance?
Stuart B. Brown: Yes, this is Stuart. I'll start off and anybody else jump in if they want to. It's just when you look at the noise that sort of came out of Washington, with the shutdown and what that done to sort of consumer confidence overall, we definitely saw a tickdown. I mean, like everybody sort of seen it in the third party remarks. And definitely, we'll see some choppiness just as we get through the year, just due to seasonality with Sandy last year, and I'm sure we'll have some other weather events this year. In addition, we did see on Oktoberfest sort of going in -- coming out of the third quarter, going into the fourth quarter, as Steve mentioned, a little bit of softness on the sale of the Oktoberfest Burger. Obviously, that was more than offset by increase in appetizers and beverages. So we've seen some great increase in average check. So I think, really, fourth quarter for us, we expect to be a little bit of the same, still continued choppiness, we do expect competitors, and we've seen some competitors get even more aggressive. So we're a little bit nervous about that. And just with the fewer shopping days. And I'm not sure when the political noise will heat back up for the January fight, but that starts hitting in December again; we're just being pretty cautious on our outlook.
Operator: Our next question comes from John Glass with Morgan Stanley.
John S. Glass - Morgan Stanley, Research Division: First of all, if could you just go back to the comments about the marketing spend. This quarter, it sounds like it was very heavy relative to the rest of the year. How does it look in the fourth quarter relative to third quarter?
Stuart B. Brown: Hey, John. The fourth quarter will be pretty flat with what it was last year. Again, we sort of, overall, said, hey, our marketing spend as a percentage of sales, they're the same, so we're running that year-to-date pretty flat. The fourth quarter will be up a little modestly, but not very meaningfully. And we will be cycling over the start of the quarter, we're cycling over some pretty heavy media last year, but we sort of planned for that.
John S. Glass - Morgan Stanley, Research Division: Okay, that's helpful. Next year, you're talking about a 30 basis points of labor pressure. Is that entirely California minimum wage? And/or is there some cost to implementing the service piece? And can you talk about what that cost has been to date in the training and execution of that?
Stuart B. Brown: Yes, I'll start off and hand over to Eric to talk about sort of labor management standards. But no, the 30 basis points is really all minimum wage, not just California other states, but California now the biggest piece for us. If you want to talk about labor management a little bit?
Stephen E. Carley: Yes, we've just successfully deployed our new labor management system system-wide as of the fourth of this month, which really focuses on putting the right people in the right place at the right time. So we did have -- we did incur some costs, some meeting costs when we rolled out the Triple R service, as well as pinpoint seating in our sorting at the door. But it wasn't really meaningful. We haven't changed our labor standards in terms of section size or to peak to peak. So I think we're just going to get even better and better as we roll out the new labor management system.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay, fine. And then just lastly, you discussed pricing being a little bit more sedate in 2014? What is your initial thought on pricing? And I assume in your labor guidance, you're not going to try to price in that minimum wage in California or can you actually try to offset some of that in those stores?
Stephen E. Carley: We probably can try to offset some of it. With that, we've got our new spiral menu, we've got a lot new flexibility in terms of how we take pricing and where we take it. Historically, you've had essentially one pricing zone across in the entire country, with a few regional differences. This will start to give us a little bit more flexibility on pricing. Our pricing strategy has historically been to really for commodity, labor and utilities, to that extent, offset the dollar inflation with price. Next year, we're going to try to limit the amount of price and try to offset some of that with other cost-saving initiatives, other mix initiatives that we can try to do that and try to limit the amount of price we take.
Operator: Our next question comes from Will Slabaugh with Stephens Incorporated.
Will Slabaugh - Stephens Inc., Research Division: I want to ask you about the traffic growth. Sort of what changed, if anything, on a quarter-to-quarter basis or what you might credit that traffic improvement sequentially to when others are falling off into space. And then also your outlook for that graphic growth as we continue into the fourth quarter and then the next year?
Stephen E. Carley: Denny, you want to take that one up?
Denny Marie Post: Sure, I'd be glad to. I'd say primarily this summer, obviously, a very strong tie-in in promotion with the Wolverine and our Berserker Burger and Rolling Dark from last year. As Stuart has referenced, we had more media activity in the third quarter than we've had in a while. Again, it's flat on the year. It's just a matter of timing and the way we've done it. So primarily, it's the opportunity to have come back on here in a time period when we've been dark prior with a very strong promotion.
Will Slabaugh - Stephens Inc., Research Division: Got it. And one more I had about remodels. It sounds like there are up there -- promising start. Wonder if you can give us an update as far as what you're seeing from a lift standpoint? And if also, a full system rollout. As for the time frame might look like, could that be a 3-year timeframe, or sort of, any sort of thoughts around that?
Stuart B. Brown: Will, this is Stuart. Yes, I mean as we talked about on the last earnings call, the sales lift from the initial remodels was about 6% traffic lift. And that has continued to hold in those units. Our 20s that we're doing now are really, some of them, the paint is drying, some are not finished yet. So we don't have any comment on that. We can give an update on that in February. But we're really encouraged by the results, the guest feedback, and this is probably something that across the entire chain is really a 3- to 4-year rollout. What I'd caution is, is that 6% sales lift is probably not likely something that you'll see across the entire chain, right, because you'll have some units that are either lower volume units or older units you're just not going to put that $400,000 of capital in because you won't see the sales lift to return. And so we're going to try to be very smart about how we're doing that. This next 20, as well, remember that 5 of those are locations we're testing, either because they've got different demographics. One of new units is actually fairly newly built unit, a couple of years old. We're trying to still learn, and that will help inform us and again, what the pace will be for 2014 and beyond.
Operator: Our next question comes from Bryan Elliott with Raymond James.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: Quick follow-up on the remodel question, just to ask. So when you look at that traffic gain, are you seeing some other differences possibly? I'm thinking maybe the demographic of bulk beverage sales, other mix over and above what the chain is, all it's seeing from all the broad initiatives?
Stephen E. Carley: Denny from New York.
Denny Marie Post: Glad to join in. Yes. In the brand transformation locations, the separation of the zones is definitely benefiting us in terms of lift in alcohol sales, where adults are finding themselves more comfortable in the areas we've created for them, and we see some other positive benefits from this as well. But that's the primary one. Again, brand transformation is designed to ensure that we accommodate guests of all ages in the space that makes them most comfortable, so that the experience is great no matter who you are, and that creates opportunities to sell more beverages.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: Right, great. And then, I guess, maybe Stuart or Steve, can you elaborate a bit on the IT challenges that you referenced a couple of times in the prepared remarks and kind of -- are you protected from a financial standpoint given you are a pilot of big global software company that's trying to develop this for you? And others, obviously?
Stephen E. Carley: Yes, Brian. To answer your question, due to the point is on from a financial protection standpoint, yes, I think the benefits we get out of is we get a lot of customization that we wouldn't get if we were not an early adopter. So they are doing a lot of things for us that if we were not helping them develop perpetual inventory for restaurants, suggested reorder, suggested prep schedules. Do you remember bacon cheeseburger with about 20,000 different combinations to keep a perpetual inventory system is fairly complex. So I think the big benefit we get is customization and support and attention. So there is some additional burn rate. I mean, every month, it takes us to roll it out additionally has really one month that we're not getting all of the benefits that we expected to be getting by now. We're still confident that the benefits will be there in terms of inventory reduction, times it takes our general managers to build those order schedules and build prep schedules. But we do definitely have some exposure. And one of the things it's keeping our G&A run rate a little bit higher than it would have been otherwise.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: Right. If we continue to be challenged that G&A spend rate is not at risk of having to go out further?
Stephen E. Carley: No, I think it's basically built into the current run rate. So it's more of an opportunity for us to take those dollars and potentially to reinvest them in other things or cut back. I think we'll continue to leverage over the next few years, leverage our overall G&A dollars as sales go up. But they will probably take us through the next year to, at this rate, to get the system fully rolled out and then another couple of months after that, a couple of quarters after that to stabilize.
Operator: Our next question comes from Conrad Lyon with B. Riley & Co.
Conrad Lyon - B. Riley Caris, Research Division: Let me follow-on with that topic just about the supply chain and perpetual inventory. So, just broadly, should we expect to see a little inefficiency with COGS going forward here? And then perhaps, I don't know, midway through next year or maybe early part of next year, probably some efficiency, maybe less waste, and as you have suggested, historical lower inventories?
Stephen E. Carley: I would say probably over time, yes, once we get better information of exactly where waste is. I talked to a general manager today, our general managers know where waste is by item in the restaurant. We have challenges today rolling all that up system-wide really timely. So the system should allow us to make better decisions faster. And also, the same time, will allow us to test things more quickly because we'll be able to get data out of the system faster, a little better business intelligence. And so as we test things that either work, we can roll them out quicker. If they don't work, we can kill them faster. So that's really the advantages of the business intelligence that we'll get out of it. Labor management itself will allow us to already start to think about some of those pieces as we start to think about make versus buy decisions. Because with our new labor management system and the scheduling in 15-minute increments, we'll be able to go through, sort of to say, whether it makes sense for us to bring prep into the restaurant versus making scratch in the restaurant.
Conrad Lyon - B. Riley Caris, Research Division: Got you. Okay. And just to kind of go back. In terms of when you would think you'd see a benefit from, say, the supply chain, perhaps maybe a window, I mean, do you expect to see a benefit midway through next year and have these things ironed out?
Stuart B. Brown: No. I would say sort of my earlier comments. It'll take us through next year to really roll it out, and then it's going to take us 6 months to stabilize and really take those data feeds and really start to build the database that we can leverage. Similar to what we saw with Red Robin Royalty, where it took us 6 to 9 months to roll it out and build all the information or guest behavior and then really start to leverage it.
Conrad Lyon - B. Riley Caris, Research Division: Okay. And then sort of the labor, just also a clarification, I sort of you had more as a guest experience enhancer, more than a cost reduction, is that a fair way just to make a blanket?
Stuart B. Brown: Conrad, I think you're looking at exactly the same way we are.
Conrad Lyon - B. Riley Caris, Research Division: Okay. Right. Fair enough there. Lastly, Berserker and kind of pricing. With the success you had with Berserker, and then the reiteration of the Oktoberfest, how does this work its way in the, perhaps, LTOs next year? Maybe just kind of pull back on pricing and some of these aging LTOs and really focus on wearing the media with some of these more, if you will, effective LTOs?
Stephen E. Carley: Denny?
Denny Marie Post: Yes. Conrad, we've stopped taking discount pricing on our LTOs when we rolled out the Tavern Double, which gave us the everyday value strategy. So what we really have now is with the advent of the finest burger and the first one, which is sneaking this week and launching next week fully, is a range of opportunities, from Tavern Double through our gourmet burgers to our finest line to work a range of pricing and opportunity. So I guess the answer to your question is, yes, I think it's going to give us a lot more flexibility and we have some very distinctive and differentiated propositions to deliver to the guest.
Conrad Lyon - B. Riley Caris, Research Division: Okay. And really, what I was getting at is, I didn't expect more discount, but more overlay with perhaps movies or other type of big media events?
Denny Marie Post: Yes, we're still assessing exactly what that contributed to our summer, and continuing to look for those opportunities. But the combination of our new campaign approach, which is more to keep us top of mind on a ongoing basis, you're correct, we're not looking at those so much. Media is no longer just about supporting a single limited-time-only offering. It now becomes about supporting the brand and the reasons that you want to come to Red Robin every day.
Conrad Lyon - B. Riley Caris, Research Division: Last one. Do you happen to have the mix for the Berserker over the quarter?
Stephen E. Carley: Yes, Stuart is looking it up.
Stuart B. Brown: I'm looking it up. Yes, it's probably, I mean I guess, it's sort of low-single digits. But I'll come back to you to the exact number.
Denny Marie Post: Yes, it's comparable to our prior LTOs.
Operator: Our next question comes from J. Donnelly with Wells Fargo.
Jeffrey J. Donnelly - Wells Fargo Securities, LLC, Research Division: It's J. Donnelly on for Jeff Farmer. It looks like your restaurant level margin guidance for 2013 has reached the company's peak levels in almost 10 years ago. And you touched on 2014 a bit. But as you look out to 2014 and 2015, any reason to believe that the margin cannot continue to trend higher?
Stuart B. Brown: Yes, I think margin expectations, long term is something we'll talk about a little bit at our Investor Day. So giving guidance out for -- we're not giving that guidance today for '14, so I'm sure we don't want to think about '15 or '16. Obviously, the whole competitive environment is something that we've got to work our way through. If you look at where our volumes are today, our traffic in our restaurants today, we're still fairly significantly below peak levels, and we're operating more efficiently. So I don't want to necessarily talk about restaurant level operating margins. I think, when you look at below that, in terms of overall EBITDA margins and things like that, there's room for us to continue to expand that over the next few years.
Jeffrey J. Donnelly - Wells Fargo Securities, LLC, Research Division: Okay, fair enough. And then a question on the remodel work. We will lap the remodel work for the initial boost of 21 restaurants this quarter. Would you expect those units to calm positively in the second year following the remodel?
Stephen E. Carley: You know what, we'll find out. It's something that we're prepared to talk about. I think with the understanding that we get from most of our peers and other analysis that we've seen, is they sort of plateau up and then sort of behave like a comp base. So you continue -- some lift out of it but not significantly above what the rest of the companies is doing.
Operator: [Operator Instructions] Our next question comes from Peter Saleh with Telsey Advisory Group.
Peter Saleh - Telsey Advisory Group LLC: I just wanted to ask about top line performance has been fairly strong for a number of quarters now a couple of years. The margins have been improving within the 4 walls of the restaurants, and then we haven't really seen any franchisee-funded unit growth really start to kick in. So how should we be thinking about that going forward on the franchisee side.
Stephen E. Carley: Peter, this is Steve. We've sat with our entire franchise, all our practice partners recently and walked them through the impact of brand transformation on the company stores. And of course, as you can imagine, many of them have a number of older units that need to be remodeled, and the brand transformation is exactly the answer they're looking for. So I think short term, significant amount of the available capital our franchise partners have is going to go into taking advantage of the pop they will get by remodeling the restaurants consistent with the brand transformation design. Having said that, we did have 2 franchise restaurants opened this quarter, new restaurants opened. And we have signed one area development agreement with our franchise partner in West Texas. So there is some heartbeat on new units, but our focus is around getting their older restaurants remodeled consistent with the brand transformation standards.
Peter Saleh - Telsey Advisory Group LLC: Great. And then I just wanted to ask about the announcement the other day on Halloween about the seasoned steak fries for at-home. Is this going to be a one-off, or is this something we should expect more of on a go-forward basis, more leveraging the brand in the grocery channel?
Stephen E. Carley: Denny?
Denny Marie Post: Peter, yes, we were surprised, frankly, by the rate lift which this first effort, our steak fries, which is in partnership with ConAgra, ConAgra West, and who is also a major provider of our steak fries in the restaurant. We had expected it to frankly be a test this year. But when it was presented to retail, it was widely accepted. So, one, we're thrilled. It's going to give us brand exposure in something like 9,000 outlets by the beginning of the first quarter. So I'm very pleased for that alone. As far as what comes beyond steak fries, we are continuing to keep our options open and look at a number of other licensed opportunities. But we're going to move cautiously in this space. It's not so much about, I mean, obviously, it's got to be accretive to the brand to make sense for us. So we're very much focused on that.
Peter Saleh - Telsey Advisory Group LLC: Okay. And then the last question is on alcohol mix. Where do we stand at the end of the quarter? And how much was that, I guess, up for the year and year-over-year?
Stuart B. Brown: We're up about -- our total alcohol mix was up about to 20 basis points over a year ago. So we're about 7.4% in the quarter.
Operator: [Operator Instructions] Our next question comes from Steve Anderson with Miller Tabak.
Stephen Anderson - Miller Tabak + Co., LLC, Research Division: Just a couple of questions on the food cost. Just I know last few quarters, you've seen actually some improvements though. Do you attribute more to the mix or more to the -- some of the changes going on with the supply chain? And I have a follow-up.
Stuart B. Brown: Steve, good morning, this is Stuart. It's really, it is a combination of both. I mean, we've definitely seen some higher commodity inflation again. First of all, we're cycling over a year ago because the third quarter last year is when you started to see ground beef start to come down a little, so we're starting to cycle over that, as well as some mixed shift from the new menu and to entrées and other things into some of our higher-margin -- high dollar items. So it's really a combination of both.
Stephen Anderson - Miller Tabak + Co., LLC, Research Division: Okay. And with regard to the fast casual category, what are your thoughts on that category in general as regarding the Burger Works expansion. There's been some press about maybe some shakeup going on in that sector.
Stephen E. Carley: Well, Steve, there's been a tremendous explosion of growth in the sector. And as we go look for new sites around the country, it doesn't appear to be abating. There are better burger independent guys popping up literally in every major city. That's, of course, going to put continued pressure on established players, it puts tremendous pressure on real estate sites, which effectively drives the cost of those up. And that then bounces back on the margin and profitability. So we're happy with our learning ad Burger Works. We think up a thoughtful, cautious approach going forward makes a lot of sense. We're watching with keen interest on what happens to the balance of the rest of the players. And we do think, at some point, the bubble will begin to lose air and we stand to take advantage of that when that happens.
Operator: It appears there are no further questions at this time. Mr. Carley, I'd like to turn the conference back to you for any additional or closing remarks, sir.
Stephen E. Carley: Thanks, Lauren, and thanks, everybody, for joining us this morning. We're really looking forward to seeing many of you during our November 20 Investor Day presentation, which we will webcast for those of you who can't attend. The day will include a tour of our new restaurant opening in Secaucus, New Jersey. This location will serve as an example of the direction upon which we look to evolve the brand, as expressed in our guest experience roadmap, and we hope you can join us. If not, we'll talk to you again in February, when we share our 2014 Q4 and full year results. Have a great day. Thank you.
Operator: This concludes today's conference. Thank you for your participation.